Natalie Smith: Good morning. Welcome everyone. My name is Natalie Smith, I’m VP of Marketing here at Clear Blue Technologies. I'll be moderating the live webinar today. I'm here with Miriam Tuerk, our Co-Founder and CEO of Clear Blue, as well as Farrukh Anwar, our CFO of Clear Blue. And they'll be taking you through our financial results for the fourth quarter 2021.  Just a couple of notes. We will be recording this presentation and it will be made available after the call on our Web site. If you'd like to view it, please submit any questions to the Q&A box and Miriam and Farrukh will be answering them at the end of the presentation. So with that, if you have any additional technical difficulties, just message me in the chat and I'll try and help you. So let's get started.  Miriam, I'm going to turn things over to you.
Miriam Tuerk: Thanks very much, Natalie. Good morning, everyone. So nice to have everyone joining us. As always, you understand that we are providing information to you from a forward-looking statements perspective, and you should take that into consideration as an investor. From an agenda today, we are going to talk a little bit about Clear Blue and its market. We'll spend a few minutes talking about the new product that we have just announced in the last couple of weeks. We'll go over our fiscal 2021 results and then we'll talk about what 2022 is looking like. I've got Farrukh here with me. Just like to comment that he joined us in December 2020. So 2021 is his first full year as CFO of the company, and we're so glad to have him. So I'm going to start off by providing an overview and I thought I would just talk about what we're seeing from a global perspective and how it relates to Clear Blue. As I think you all know Clear Blue's product is a complete solar power system that is offered. By that we mean that it is a completely independent standalone power system that is not connected to the electricity grid. I thought I would start by talking about the current macro trends that are affecting the markets we serve. We support mission critical infrastructure such as telephone, telecom cell phone towers and they have backups systems. Before solar it was all about diesel generators. Recent global oil prices have had a huge impact on our customers. Add to that that fuel shortages are exasperating the problem. Recently I was in Nigeria visiting a couple of our key customers and you may know that Nigeria is actually an oil producing nation. When I landed in Lagos, a normal four-hour drive from the airport to downtown Lagos took me 20 minutes. When I got to the hotel, I'm like, why did it only take me 20 minutes? And the answer was that they had such a large fuel storage that no one was on the highway. So we drove free and clear without traffic. So this is impacting everyone around the world. Lastly, the systems that are tied to the electricity grid, they have the new 21st Century problem. We spent most of the 20th Century specifically in the developed markets thinking that our grid was reliable, we just need to build out the grid, but the grid is no longer reliable. All of these factors are driving the move to solar and to independent reliable standalone off-grid systems and that's what our business is. So what is it we do. We pair highly reliable energy sources like solar panels and batteries with Clear Blue’s proprietary control and built in communications. We deliver that as a pre configured system. So it's a complete standalone off-grid power system. It gets installed by local installers. And then our service team using our patented aluminum cloud management platform provides maximum uptime and availability and long life performance, because we remotely manage and operate every system that we deliver. We do this for all of our customers on an ongoing basis. And through our design of our technology as well as our ongoing management, we deliver the lowest total cost of ownership for the customer. In fact, not just total cost of ownership but upfront costs of capital expense as well as ongoing. And in the next month or two, you're going to hear more about some field trial results that talk about that. So what's our core technology? As you may know, Clear Blue is the solar power solutions and service company. Our customers are telcos, governments and infrastructure providers who provide power and energy to the world's digital infrastructure. So how do we do that? We make a device called a controller, you can see it here, a little black box. It's an edge computing power electronics device and it's the brains of every power system that we sell. You take one or many of these smart off-grid controllers, you add solar panels and energy storage like batteries. And then you connect mission critical telecom devices like cell phone, radios, satellite dishes, microwave, et cetera, et cetera. It might have a Wi-Fi router or security camera or a streetlight attached. It can really support any mission critical infrastructure load that's part of the world’s IoT infrastructure. Every one of these systems, and we've shipped more than 9,000 of these devices to 37 countries around the world as of the end of last year, connects to our cloud based management platform. There we have more than 8 million operating days of data, 10 billion transactions was the key milestone we made last year. So we have both the historical data and the real time data, which together with our predictive energy and weather forecasting technology and our troubleshooting our remediation tools, is what enables us to operate and manage every system we sell. I love showing this picture because all those words I just described is a little bit hard to talk about how we are the next generation of off-grid power systems. So a visual picture is a really great way to understand it. The system on the left is actually a new system installed by a competitor last year. It has a lot of analog, mechanical switches, a lot of connectivity put together. And because it doesn't have any predictive capacity energy management capabilities using smart data and energy and weather forecasting, it runs out of energy, you got add a generator to do that. Everything on the left hand side has been replaced by Clear Blue Smart Off-Grid system and technology. And so you can see, first of all, that we've made a complicated manual need a person to stand in front of a breaker panel solution into a digital streamlined completely remotely manageable system. The second thing that's really cool about this is that the system on the left, if it needs, let's say, 20 solar panels and 12 batteries, our system can do it for 12 solar panels and four batteries. So we fundamentally are more efficient and smart about the energy we generate and the energy we consume, and we can therefore give much better capacity at a lower cost. So just like Amazon's Web Services transformed the IT industry, one of the things about off-grid systems is nobody manages as a power utility. And we believe that our energy as a service offering will transform the industry. We're going to move to a world where there's a partial electricity grid, there's a grid, but there's also wireless off-grid power. And if you really want to get that scale, you're going to need to have a management platform that does that, and that's what we're building in our  service. So what does that mean to the customer? Well, the brand promises that we deliver are maximum uptime, longest life and easy to install and maintain, and we do all of that at the lowest possible total cost of ownership. So a couple of examples that we're happy to show is some of our cell phone tower applications. You'll see a little bit of movement at the bottom of some additional customers that we've added recently in partnerships. And we are deploying and installing and operating telecom systems. And I think probably 12 countries around the world now many in Africa, some in South America, some in Southeast Asia. And every one of these systems is remotely managed and operated by us out of our service team, which is located in Nairobi, Kenya and in Toronto. Smart City Street Lighting Infrastructure, we do a lot of that primarily focused in the North American marketplace. And whether it's rural or downtown inner city core, the value proposition is that the cost of getting connected to the electricity grid is significant. $35,000 for a connection to a street pool in Toronto is a real example that we had a customer tell us about. And it provides the resiliency that if the grid goes offline, these systems continue to operate. Let’s talk a little bit about our Pico-Grid product now, which we just announced last week or two weeks ago, can't remember. In the last two weeks, we've announced our Pico-Grid product. Our Pico-Grid product’s been under development for since the beginning of 2020. So over a year and a half, and we're really thrilled with the progress that we've been making. The first question you might ask is what's the Pico-Grid and where does that name come from? Well, if I could take you back to your grade school math, you'll remember that we used to talk about the powers of 10 and that's why we have kilograms and gigabits and all of those kinds of things. When you talk about solar, most of you will be familiar with the concept of a micro grid. Most of the world's solar focuses on micro grid infrastructure that would be in a commercial or industrial out in the middle of the field somewhere. Clear Blue is all about small power. So our existing product, which we call a nanogrid, is the next order down. So it's kind of a mini electricity system as a complete standalone. A micro grid is just energy generation and then it kicks into a grid. A nanogrid is a complete standalone system. And that's the product that we had such great success with. It's the reason why we grew our revenue by double last year and our telecom sector was up 183%, and we'll talk about that a little bit more but that's our nanogrid product. But as the world's devices move to digital they consume less and less and less power. Very similar to what used to happen with data centers. We have these big, huge data centers that ran, the bank's computer systems. And we still have those data centers they're called Google data centers or Amazon Web Service data centers. But today all of us have little laptops, which have their own standalone power or our cell phones. So our new Pico-Grid is the next size down from a nanogrid. It's super small, it's super easy, it's a mass market product. So it's going to ship in one little box and we're going to ship it around the world to many, many customers. But it's still powers mission critical loads that we need to run our infrastructure. So we announced this product a couple of weeks ago. It is a product that is focused specifically on the satellite Wi-Fi marketplace and the IoT marketplace. And as we go to market with this product, we're going to focus first on satellite Wi-Fi, because we have a lot of relationships in that market, and it's kind of a an add on to the nanogrid. So we see yourself selling a nanogrid system and a bunch of Pico-Grid systems to customers. And you will have seen that we have a number of satellite partners that are involved in the cell phone telecom marketplace, and that we have our partnerships with. This is a huge market. I think you've heard people talk about how we're going to lose the stars in the sky, because there's going to be so many satellites you are not going to be able to see the stars. The global satellite Internet market is estimated to have been $2.9 billion in 2020. It's going to grow at a rate of 20% annually, which is quite significant and be about 19 billion in 2030. And this is the specific market that we're focused on. This is our first real customer pilot install site. This is our Co-Founder John Tuerk, he is our Chief Power Officer. And you can see the little Pico-Grid here in the picture as the device, and it's about the size of his hand if you were to put his hand beside me, you can see the size of a hand. What's really interesting about this, and this is why we're so excited about this product is, before Clear Blue's Pico-Grid what customers would have had to do is what's in this big box at the back. So inside this big box, there's a little bit of space you could have made it a bit smaller. But inside the box at the back, there's a bunch of batteries, there's a charge controller,t here's a power over Ethernet converter, there's a 12 to 24 volt or 24 to 48 volt DC/DC converter, there are four or five different electronics devices, a bunch of batteries and a bunch of cable link. And that entire box is what you would have had to use to power a satellite Wi-Fi site before Pico-Grid, that entire system gets replaced by this little box. It's specifically designed for computing loads, whether it's WiFi or IoT, it's a mass market product. You'll see here we're showing flexible solar panels. They have great shading performance. But one of the great things about them is you can roll them up in a little box. So we're talking about shipping a 12-inch by 12-inch box with an entire system inside of it. Every one of these systems that we are going to ship all over the world is going to come with our ongoing service management, which is going to deliver recurring revenue for Clear Blue, and deliver power and energy as a service for our customers. Because the satellite technology companies, services companies, they'll deal with the satellite connectivity, they'll deal with the router, they'll deal with the telecom, but they don't want to get in the power business, they want a partner who's going to manage the power for them. And that's why we believe, we have a huge opportunity in the marketplace. So it's an all in one build product and we are going to be finishing the product this year, make sure it's really, really solid. Right now we're targeting a middle of the year launch, but it will obviously go in alpha beta phases. And throughout the rest of this year, we'll be shipping one more. But the large volumes where you'll see an impact on our revenue line will be in 2023. So now we're going to change over and talk a little bit about our 2021 fiscal results. I'm going to turn it over to Farrukh to talk through a lot of the numbers. So we'll start with revenue. Farrukh, over to you.
Farrukh Anwar: Thank you so much Miriam. Thank you everyone for joining the call. All right. So I'm really excited to announce that revenue was a record 8.1 million for the year, representing 103% increase from 4 million from 2020, which is mainly attributed to our deployments with telecom infrastructure operators in Africa. For the quarter, the decrease is mainly attributed to timing of telecom rollouts. One of our major telecom customer procured heavily in Q4 2020 and Q1 2021 to support the 2021 rollout and therefore, we see a variance in Q4 2021. Next slide please. So on a trailing four quarter basis, our telecom vertical has grown exponentially. Large system rollouts of projects in our telecommunication vertical began in Q4 2020. Thereby showing a strong growth for the trailing four quarter ended December 31, 2021, the company sees continued progress in large full scale implementations in several African markets, increasing revenue accordingly for the telecom sector. On a geographical basis, Middle East Africa has performed extremely well where we see a growth of 174%. So our main performing sector is basic telecom, mainly in  markets of Middle East Africa. Miriam, do you want to speak about this?
Miriam Tuerk: Sure. So in 2020, we began reporting our bookings at the end of each quarter to provide as much information to the market as we can. And we define bookings as all of the future ongoing deferred and ongoing revenue services that we will provide that are contracted for that have been pre-purchased and/or contracted for by the customer and then as well committed orders and contracts, projects where we have purchase orders and/or deposits and of course, which are not included in revenues. So bookings are dependent upon the timing of the receipt of orders. And considering the nature of these large telecom rollouts, we see that timing is going to vary and you are going to see a flux between quarters, specifically at the end of the year. Although we have a lot in the funnel and we anticipated a lot of activities, everything is subject to final budget year, confirmations. When you hit January, you confirm the company's budgets and business plan and then they release the purchase orders. So I wouldn't take the fact that it's down a little bit from our Q3 numbers other than anything the seasonal nature of the year. Farrukh, back over to you.
Farrukh Anwar: So as you know, Clear Blue’s ongoing management service is a key differentiator and a value creator for us. The company is building the service and launched its premium energy service, energy as a service at the end of Q2 2019. The service also includes onetime charges from move, add changes from existing customers. And as this service grows, there are going to be monthly variances. Therefore, focus should be on the annual revenue, which increased around 29%. Next slide, please.
Miriam Tuerk: So this is a really interesting chart. And you can easily see that there was a fundamental step change at the end of 2020. And that continued through all of 2021 if you just compare you know Q2 versus Q2, Q3 versus Q3, some really nice jumps in the number of units that we're shipping. We expect this trajectory to continue from a telecom perspective and street lighting perspective. And indeed we believe that there's going to be another step up once we bring our Pico-Grid product to marketplace. We believe that satellite Wi-Fi and IoT with our Pico-Grid product will be the next high growth segment.
Farrukh Anwar: So on a trailing four quarter basis, the company's gross margin has declined, basically from 31% to 28%. But the trailing four quarter figures include impacts of a couple of strategic deals in Africa, which generated a below par gross profit, but we made it for because it make strategic sense. Excluding the impact of these, the gross margin was actually 31% of sales. Gross margin in Q4 decreased due to the timing of cost of goods sold via location entry for the year of around a small $72,000 entry, which it was spread throughout the year, the margin would not just be impacted in Q4 as well as the strategic first order with a new partner with slightly lower margin. Excluding the impact of these, the gross margin was comparable at around 26% compared to last quarter, the next quarter. Next, please. Increasing operating expenses is in line with the increased business activity and related revenue growth for the quarter and trailing four quarters ended December 31, 2021. Company salaries, wages and benefits have increased due to lower government subsidies, COVID-19 subsidies in the current year, as well as higher headcount to manage increase business. Other notable increases for the quarter are stock based compensation where stock incentives are given to staff to counter the great resignation and to award performance. Next slide please. So for Q4 2021, EBITDA loss remains consistent while on a trailing four quarter basis, the improvement in EBITDA is around 29%. As non IFRS operating expenses have registered a modest increase, almost all improvement in EBITDA stems from our company's strong revenue growth and capitalization for R&D.
Miriam Tuerk: So it's March and I'm sure everyone wants to look forward set us back but oftentimes your forward looking performance can be estimated from a backward performance. So I think you know 2021 was a fantastic year for Clear Blue. We've always almost forgotten about it because we’re focused on making 2022, another of the best year yet. But we doubled our revenue to 8.1 million. Our telecom vertical grew by 182%. We were named the TSX Venture top 50 performer in the first part of the year, obviously, the market’s been brutal to everybody. We partnered with Parallel Wireless for large project in Africa and in fact, we have shipped follow on phases of that project. So that project was announced in Q2 and we did do a follow-on phase purchase order on that project later in the year. We are really happy with our relationship with NuRAN. NuRAN has done some wonderful things in the market in Africa. And we were awarded the contract for DRC, which has an estimated value of over 8 million over the next few years. We’ve announced a number of partnerships. Last year, we announced the partnership with Avanti Communications in satellite services. Our Meta/Facebook collaboration on the Rural Telecom Field Study, that is an independent study that Facebook has done with a telco operator and some other vendors, we've supported it. And the whole purpose of it is to validate what -- and quantify what the benefit of Smart Off-Grid power is to a telecom company. The results of that study are almost complete, and we expect to be releasing the white paper in the next quarter, sometime in Q2. And lastly, Clear Blue was named by Globe and Mail as one of the top growing companies. So when I look at this list, I just have to say how wonderful the team has performed. It's been a lot of hard work and I think it was a great year. Now let's talk about 2022. So we've really been focused to make sure that we start strong, and you will have seen a flurry of announcements this quarter. So we've added to our satellite community in terms of partnerships by having a partnership with YahClick. They are a global satellite services operator, they selected Clear Blue for a number of their customers and projects. And we continue to move forward on a number of projects over the next few years, including this year. We also launched a new Illumient streetlight product line to meet growing customer demand and we're quite excited about what that's going to do with our position within the marketplace and open up new opportunities for us. I was named the Globe and Mail -- I was given the Globe and Mail change-maker award. I feel a little embarrassed by that but yet quite proud. And all I can say is behind every CEO there is a fantastic team that makes that happen. So I take the award on behalf of the entire company who is very definitely focused on being a change maker. We signed an MOU with iSAT for contracts exceeding more than $2 million. We've been working with iSAT quite a bit. They've been rolling out their projects and their initiatives and they selected us as their partner. So as they move that forward, we will be supporting them with Power Solutions. Same with GCS in Nigeria, they selected us as a preferred partner. And lastly, we launched our Pico-Grid product to enter the satellite Wi-Fi and IoT markets. So it's only March 29 and we've already had quite a busy year. In terms of guidance, moving forward, we finished the year off at 8.1, it's March. At this point in time, we are increasing our guidance from what we gave last quarter to a minimum of 10 million in revenue. So we believe that in 2022, we are going to exceed 10 million. How much above 10 million? Stay tuned as we move through the quarters, but that's the guidance we're giving to the marketplace. Our gross margin target is in the 30% to 35% range. We are managing through rising costs that we do expect in 2022. In the medium long-term, those costs will get passed on in pricing to our customers. In short-term if we quote something three months ago and the prices have gone up, we have to deal with that. And so we continue to see some pressures on us. But we believe that we can sit in the 30% to 35% margin this year in the short-term. In the medium term, moving to 35% and higher 35% to 38% is where we think we can get to, and we will continue to work towards that. We are planning to launch Pico-Grid in the middle of this year. We've already got some orders and we will trickle them out as we confirm the various different beta releases that we can add, and we do field testing and trial so it'll move throughout the year. And next year, as I said before, we'll be in 2023. So the focus this year, finish the product, finish the functionality, get going with trials with key customers and confirm the field validation of what we're doing. And I just want to reiterate, EBITDA breakeven is in our sight. We believe in 15 million to 20 million range we will be at breakeven and shortly thereafter, we will be cash flow positive. And given that we see a minimum of 10 million this year, potentially more than that, as we're using the word minimum. We have that in our sight and we believe we'll get there quickly. Okay, so we're now going to open it up to any questions that you may have. Natalie, could you just take a look and see whether there are any questions that we want to have. I would encourage all of you to please reach out to me individually. And in time if you'd like to have a call or discussion with a group of you very happy to do that, and we do appreciate getting feedback from our investors.
A - Natalie Smith: Okay. Well, we wait for some questions to come in. We do have some that were emailed in advance. So we'll start with those. So the first question is, how are you thinking about working capital? Is it sufficient for these newly announced contracts?
Miriam Tuerk: Farrukh, do you want to take that one?
Farrukh Anwar: So we ended Q4 with around $2 million in cash, $3 million of inventory and a total working capital of around $3.5 million. So in Q1, we signed a number of new contracts and worked on delivering already signed contracts. So I think we've got momentum, we've got -- and we're investing heavily. So the trend of investing in the business will continue in Q1, which we'll use -- consumed some cash, but typically we have room for another $2 million on a  line. We have some new contracts that we're working on. And we have upfront cash payments from those customers. So I think we're pretty comfortable with our current balance sheet and our capital situation.
Miriam Tuerk: I would just add to that that Q1 has traditionally been our smallest quarter, so it tends to be the one where we burn cash. And then as we get into Q2, Q3 and Q4, we tend to start to be much more cash flow positive. But our planning is quite strong and we're very focused on it and I think we're comfortable.
Natalie Smith: I know there was a large order that was mentioned last year. What is the status of that large order now?
Miriam Tuerk: So that's a bit of a miss on our side. We had told the market that we expected a very large order in Q1. And if I just give you one example of how well we thought that was going to happen. We had conference call on the 24th of December and the customer actually asked us to work Christmas Day and Boxing Day and some of the team actually did that, because we thought the order was that imminent. The order is very much still on the table. We have a bunch of large orders coming. We started the New Year and okay, let's do the plan and where's the budget? And so we expect -- we still expect that they're going to hit, but we they did not hit in Q1. So we're anticipating that we will have that update for the market in the coming quarter for sure.
Natalie Smith: On the revenue side can you explain to us how we should think about revenue and gross margin in 2022?
Miriam Tuerk: So we had a trajectory last year where we doubled our revenue from the year before, and I've been using a little bit of a joke to saying that, Tim Hortons double, double is my new favorite drink. From a management perspective, we believe that we can continue the trajectory that we have and that is our plan. That being said, we do have a lot of timing and lumpiness, because there is a large project. And even for Q4, we had a project that revenue recognized in the last week of December from a shipping perspective and it could have flipped to January the third and had a huge impact. So exactly where we end up we're giving good, strong, confident guidance that we're going to exceed 10 million. The question is, is it going to be 10 dot white for us, or is it going to be 12, is it going to be double of 16, that's kind of where we're sitting. So the trajectory we believe is going to continue from that go forward perspective on the revenue side. On the gross margin side, the guidance we've given is we believe that we're in the in the short-term, we're 30% to 35%, and in the medium long term, we're going to grow add 5% to that number. There are headwinds for sure. Lithium prices jumped 30% in Q1, fuel prices have gone through the roof. And these are can be material costs for us. Now, in many cases, we have the contracts that allow us to adjust those contracts in the medium long-term. But if someone's got budget and that's very near the purchase -- some short-term pressure. The company and management team is all over it. We continue to improve our margins in other areas. So every time we have a kind of a negative on the margin, we have a positive. But the guidance we give the marketplace at this point is we believe we're going to be in the 30% to 35% range.
Natalie Smith: And just talking about a little bit about  supplies. How are the supply chain and shipping issues doing? And then those questions go last time as well.
Miriam Tuerk: So supply chain, I think we're in the new normal. We know that there are supply chain issues. We know that there are long lead time purchases and items and we are working with that plan. So as a company, we've secured inventory and long lead time parts all the way to the end of this year to make sure we could ship the volume plan that we have. And we're already looking at, it's time to start planning for Q1, Q2, and that's the new reality. It didn't have to do that a year and a half ago. That also puts pressure on working capital. But as a company, we are managing forward and that's one of the reasons why we increased our inventory so much last year. Shipping logistics, I actually had an update, because we had a board meeting yesterday and my operations person commented that the -- actually getting the shipment booked now is getting easier. So we actually had one order last year where the customer didn't get his equipment for nine months, because we couldn't get a boat at all. That problem seems to have fixed itself. The cost issue is still there, so the shipping is exorbitantly high. But in general, we've managed that, we put that into our pricing and we're also putting it into our planning with our customers. We also moved inventory to Africa, purchased and -- ahead of time inventory, moved to Africa and have it local, so that we can respond to shorter term customer requirements better than we did last year.
Natalie Smith: And then the other question about partnership, so you are working on more partnerships like YahClick, but in other parts of the world?
Miriam Tuerk: We are, absolutely. We have -- I should comment that in our go-to-market on our street lighting business, we work through a network of agents and partners. So we have a company in New Jersey that sells in that market, we have a company in Pennsylvania. And we've been doing a lot of work, Natalie, if you see here on this call and our sales team that's in that area, to build our partnership network in the street lighting business and that's growing. And we think that we're going to see some results from all of that work this year. On the telecom side, we are expanding our partnerships quite significantly, not only with satellite company but with other service companies, other telcos. So I do expect that you're going to see some new names, when we announced some larger contracts this year companies that you've not heard of from us before. We also last year -- we started the year off last year with two salespeople in the company, one who was focusing on telecom and another who was focusing on streetlights. Today, we are five telecom -- five people, four in telecom and one still in the Illumient business. And so we have a person in South America who's focused on military marketplace with two people on the ground in Africa. And we've seen a really big scaling of our sales funnel and a diversity of our funnel, and a diversity of our orders and our customer relationships. And we're really pleased with the progress there.
Natalie Smith: I think just one final one here. Can you speak to the revenue mix in your 2022 guidance?
Miriam Tuerk: I don't know. I think telecom is going to continue to dominate, so it will be the largest sector. Pico-Grid, you'll start to see us reporting on it, because this is different products and different segments of the marketplace, so it will be a line item and you'll see in our 2022, it'll be minuscule. Obviously, we're not releasing the product yet and we don't see volumes, but it will start to come. And then street lighting, we do have I think visibility to having a significantly better performance this year than last. But you know that the season for streetlight businesses usually the fall, something like 70% of all streetlights are  in the fall. And why construction project started in the spring and they're going to build a new road and then they put in the sewage system and then they pour the concrete and the curbs and the sidewalks, and the last thing they put in is the streetlights. So 70% to 80% of streetlight projects install in the September to November timeframe. So we'll know more about the time we get to July, but it could be nicely bigger. So in summary, I think Illumient will grow nicely this year. Last year was not as good as we would have liked but telecom will lead the charge again.
Natalie Smith: Okay. Thank you. So it looks like that's all the questions that we have for now. But again, for anyone who's here if you'd like to ask any additional questions, please reach out to Miriam or myself and I can send those over to her. This will be recorded and will be available on our Web site within the next hour or two. And we look forward to seeing you all again on our next quarterly update.
Miriam Tuerk: Thank you, everybody. We appreciate your time very much today and your support of Clear Blue.